Operator: Hello, ladies and gentlemen. Thank you for standing by. Welcome to the Flagship Communities REIT Third Quarter 2025 Earnings Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. Today's presenters are: Kurt Keeney, Flagship's President and Chief Executive Officer; Nathan Smith, Chief Investment Officer; and Eddie Carlisle, Chief Financial Officer. Please note that comments made on today's call may contain forward-looking information, and this information, by its nature, is subject to risks and uncertainties. Actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please consult the company's relevant filings on SEDAR. The documents are also available on Flagship's website at flagshipcommunities.com. Flagship has also prepared a corresponding PowerPoint presentation, which encourages you to follow along with during this call. And now I'll pass the call over to Kurt Keeney. Kurt, you may begin.
Kurtis Keeney: Good morning, everyone. Thank you for joining us today. Our strong performance that we have seen throughout 2025 continued into the third quarter. We continue to generate double-digit increases in revenue and NOI as well as same community revenue and same community NOI. We also saw growth in FFO and AFFO metrics this quarter relative to last year. In addition to our strong financial performance, we completed a strategic acquisition that expanded our footprint in Kentucky. We also recently announced the acquisitions of 4 communities that enable us to grow our presence in Indiana and Ohio. These acquisitions are expected to be immediately accretive to our AFFO. They also provide us with an opportunity to acquire underperforming MHCs with high vacancy and added value through occupancy growth and lot expansion. Lot expansion has been a key focus area and is expected to be a significant avenue for growth going forward. We have identified a number of communities in our portfolio that can accommodate lot expansion. This allows us to add more housing opportunities within certain existing communities for a modest capital investment. We added 112 lots to our portfolio in 2024. Customers have since started moving into these homes on these lots, and we are beginning to generate revenue from new residents. And we recently began a 36-lot expansion program in one of our Kentucky communities that was 95% occupied. We expect these to cost roughly $15,000 per lot to put them into service and residents to move in within the next 24 months. As many of you know, this is a special year for our business. Not only is this the 30th anniversary for Nathan and me in the MHC industry, it's our fifth anniversary as a publicly traded REIT. Since our IPO, we have delivered one of the strongest distribution growth records among Canadian REITs, all while reducing leverage and maintaining a disciplined AFFO payout ratio. We are the only pure-play manufactured housing investment in the Canadian capital markets, and our REIT offers investors an opportunity to participate in a niche and stable market with significant growth, and we believe that potential is being proven in the marketplace. Since going public, we have seen unit price appreciation and a strong total return profile outpacing many of our peers. For over 20 years, the MHC industry has grown approximately 4% per year, outperforming all other real estate sectors. Our solid financial performance speaks to the strength of the business model throughout all economic cycles. With that, I will now turn it over to Nathan for his remarks. Nathan?
Nathaniel Smith: Thanks, Kurt. As community owners and operators, our goal is to improve our existing communities, making them more attractive to both current and new residents. We take a hands-on approach by always striving to make our communities better through community safety initiatives and new amenities. Over the last year, we have added pickleball courts, municipal-grade playgrounds, clubhouses and more to our communities. We also provide extensive holiday and seasonal events such as our back-to-school programs, that our residents look forward to and enjoy as a community. We also look to replace older homes with new homes via Our Home sales strategy, and we have been very successful in that regard. We have done a great job on our existing portfolio. But at the same time, we look to pursue external opportunities that adhere to our strict and disciplined criteria. We take a disciplined approach to acquisitions while focusing on delivering measured growth for our unitholders. Our approach includes the following: First, we look for opportunities that will be accretive to our AFFO per unit. Second, we seek opportunities that will enable us to streamline our operations and generate economies of scale. And finally, we target acquisitions within our existing markets and adjacent U.S. states with related regulatory framework and characteristics. Our recent acquisitions are great examples of our growth strategy in action. In the third quarter, we acquired a 504-lot MHC that is located in both Lexington and Georgetown, Kentucky and is nearly 72% occupied. Since 2022, significant improvements have been made to this MHC, including the removal of approximately 50 older homes and the installation of new amenities, including 2 municipal playgrounds, 4 new basketball courts, a new dog park and a new community center. And recently, we made 2 strategic acquisitions, expanding our presence in Indiana and Ohio. We acquired a new community in Seymour, Indiana, which includes 744 lots, of which over 90% are occupied. The property also includes 85 lots for future expansion. We also waived due diligence on the acquisition of a portfolio in the Greater Cincinnati area that includes 3 separate MHCs. There are nearly 500 lots across the 3 MHCs, of which 65.5% are occupied. Each community features an on-site amenities and is in close proximity to major employers, interstate highways and retail centers, and they are all within 30 minutes drive of our corporate headquarters in Northern Kentucky. These acquisitions also showcase our ability to leverage our 30 years-plus experience of building industry relations to source off-market opportunities. In this case, we have a 25-year relationship with the family. I'll now turn it over to Eddie, our CFO, to talk about our financial performance for the quarter. Eddie?
Eddie Carlisle: Thanks, Nathan. Good morning, everyone. Revenue for the third quarter was $26.1 million, up 12.3% over the same period last year, primarily due to acquisitions as well as lot rent increases and occupancy increases across the portfolio. Same community revenue of $23.3 million for the third quarter grew by approximately 10% over the comparable period last year. This increase was driven by higher monthly lot rents as well as growth in same community occupancy and increased utility reimbursements and ancillary revenue agreements. NOI and NOI margin were $17 million and 65%, respectively, compared to $15.1 million and 65% during the second quarter of 2024. Same community NOI margin for the third quarter was 64.7% which increased by 0.2% compared to last year. While NOI saw an increase from ancillary services, NOI margins were affected due to these ancillary services having lower margins than what we have historically achieved. FFO adjusted and FFO adjusted per unit for the quarter were $9.2 million and $0.365, respectively, a 15.2% and 14.8% increase, respectively, compared to 2024. AFFO adjusted and AFFO adjusted per unit for the quarter were $8.4 million and $0.333, respectively, a 19.3% and 18.9% increase, respectively, compared to 2024. Same community occupancy was 85.1%, an increase from 84.8% over the same period last year. Adjusted for the impact of our lot expansion program, total portfolio occupancy and same community occupancy would have been 85.7%. We expect to have these lots occupied and to add additional lots to meet demand in the normal course of business. We continually work with residents to make sure monthly rents are collected in a timely fashion. Our rent collections are always steady in the high 90% range, and this continued in the third quarter. Rent collections this quarter were 98.8% compared to 98.7% last year, continuing to demonstrate the strength and predictability of the MHC sector. As at September 30, our total lot occupancy was 84.3%, and our average monthly lot rent was $483. Both of these metrics were within our expectations. Our weighted average mortgage and note interest rate was 4.31% and our weighted average mortgage and note term to maturity was 9.1 years. As Nathan mentioned during his remarks, the acquisitions we recently completed were funded on attractive terms, reaffirming our commitment to preserving a conservative debt profile. Our Kentucky acquisition was funded with cash-on-hand with approximately $17 million in assumed debt that had an average interest rate of 3.5%. The 4 MHCs we acquired earlier this month are being funded with a new $70 million unsecured term loan. We remain well positioned for future growth opportunities with additional leveragability on our balance sheet. We had total liquidity of approximately $14.8 million. The REIT currently has 20 unencumbered investment properties with a total fair value of $78.8 million at quarter end. With that, I'll now turn it back to Kurt for some final remarks. Kurt?
Kurtis Keeney: Thanks, Eddie. As we reflect on this past year, our fifth as a publicly traded REIT, we take great pride in how far we've come and all that we have achieved. I've talked earlier about this being the 30th anniversary for Nathan and me in the MHC business. We got into this business in 1995. We started with 1 community and 152 lots, which we essentially built from scratch. Our goal at the time was to provide sustainable and affordable housing that benefited families and the environment. Fast forward to today, and that is still our goal. We are in the early stages of our lot expansion program and continue to look at opportunities within our portfolio to put new homes or to replace older homes and install amenities to create enhanced value. We expect these initiatives to increase resident satisfaction and unitholder value. We also expect it to maintain our high level of performance and growth going forward. Housing prices, high monthly rental rates for multifamily competitors and high mortgage rates have continued to increase, and this dynamic has the potential to lead more people towards manufactured housing because our communities remain affordable. We remain committed to delivering steady, sustainable value for our unitholders through growth, integration and operational excellence. We thank our unitholders for their ongoing support and look forward to continuing to add long-term value going forward. Thank you for your time today, and I will now open up the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Mark Rothschild with Canaccord.
Mark Rothschild: It seems like fundamentals remain pretty strong across all of your markets. So maybe just expand on why you wouldn't be pushing rents at the same levels as in 2025 and '24 going forward, or at least in 2026. I would assume that you probably could push them even harder if you wanted.
Kurtis Keeney: We could. We could. And your observation is correct. We're not. We went -- and we frankly know what the increase is, and it's actually become public for next year for 2026, we've done -- we believe the average increase is 5.7%, and it's about $28 on average across the portfolio. And the reason is, again, right now, inflation and other pressures on the resident, it's real, whether it's utilities or food or grocery prices, and we just don't want the residents -- we're in a really good position because we haven't been over aggressive for the last 5 years. So our communities are typically still about $300 to $500 cheaper than the housing alternative, which is typically multifamily units. So as those people get pressure, we don't want to pile on. And bear in mind, most of our leases are triple net leases, right? So there's other components that are in there that -- whether it'd be real estate or the utilities that they pay directly. So again, the 5.7% is really a net 5.7%. So -- but that's the working theory is pigs get fat, hogs get slaughtered, right? And we just want to be a big fat pig. There you go. Sorry, Nathan, I [ take ] your line.
Mark Rothschild: Maybe just one more following up on that point as far as what your residents can handle, cable revenue, do you expect that to continue to grow? Is that moderating at all? And was there anything in particular of late that's leading to that maybe just not growing at the same pace?
Kurtis Keeney: Eddie, do you want to jump in here? This is your program.
Eddie Carlisle: Yes, yes. Sure. So as far as regulating, the only thing is regulating is the fact that we've kind of now come pretty close to rolling it out across most of the portfolio where we can. So we just rolled out about another, call it, 1,800 to 2,000 lots beginning August 1. Last year, we did it on July 1. So you do see a little bit of a decline year-over-year in the growth velocity there, and it's because 2 things. Last year, we added more lots than we were able to do this year. Last year, it was about 2,600 lots. This year, it's closer to 2,000 -- so just the year-over-year growth rate looks a little lower there. So the only thing that again would regulate it would be just do we have lots that we don't have it currently where we have the opportunity to expand. The nice part is the 7 acquisitions that we did in 2025, the 5 in West Virginia and 2 in Tennessee, none of those have bulk cable currently. And then the acquisition that we closed on in Indiana and the 3 that we waived diligence on in Cincinnati, none of those have it as well. So there'll still be some opportunity as we move into next year. So I do think we're still going to -- it's going to continue to be a tailwind for the next, call it, 4 to 8 quarters. And then as we do these acquisitions, that's something we certainly look at as opportunity to be able to continue to drive growth within the community. And to the extent they don't already have those programs in place, it's something we look to do.
Operator: Our next question comes from the line of Tom Callaghan with BMO Capital Markets.
Tom Callaghan: Maybe just a follow up on Mark's line of question there just in terms of the revenue side of things. But when you combine that with your views on same community expenses into 2026, how do you see kind of the same-property NOI growth playing out next year?
Kurtis Keeney: Eddie, do you want to jump in on that? I just want to make sure that we give him the correct guidance.
Eddie Carlisle: Yes. So I mean the guidance that we've -- the guidance that we've kind of [ give ] traditionally the way we thought of it is when you're thinking we're going to get that 4% to 5% rent increase next year, a little more at 5.7%. We're going to get that 1% to 2% occupancy increase as well. We've always kind of said we think we can continue to achieve kind of high single-digit, low double-digit same community NOI growth. And the revenue is going to follow pretty close. Actually, this quarter, the NOI growth and the same community revenue growth were both 10.2%. Again, I think that will moderate a bit over time as we do get the cable program more kind of rolled out across the portfolio. But there's no reason that we won't continue to be able to drive, in my mind, high single digits in that same community NOI growth.
Tom Callaghan: Okay. That's great. And maybe one more for me, just switching gears on capital allocation. Obviously, the acquisition pace here has picked up over the last few months since Q2. Can you just talk about, I guess, a, are there other opportunities like the ones you recently announced out there? And b, I think, Eddie, you alluded to in your comments there, but just how much incremental capacity do you see on the balance sheet post closing of the $79 million?
Nathaniel Smith: Well, I'll take the part out there of what's available. We always see properties that come available. Things change in people's lives, families need to exit. So we continually see that kind of action. We're seeing a little less in the marketplace. We're seeing a little bit less on private equity because they really can't get their returns if they -- at the interest rates we're at right now. We do see some small players out there that are in the market. And the REITs can't be probably more effective right now than they might have been in the past. So we see a pretty robust acquisitions pipeline, and we look at lots of deals. But we're going to stay within our 8 states that we're in right now and look to do bolt-on acquisitions in those.
Eddie Carlisle: Yes. And as far as balance sheet capacity, Tom, look, right now, we're still in pretty good shape from a balance sheet perspective. So even after these acquisitions and financings that we just did, we're going to still be right around that 40% debt to gross book value range. So we still have some capacity on the balance sheet. I think we can do another $50 million to $75 million pretty easily -- leverage on the balance sheet and stay where we're still comfortable from an overall leverage standpoint.
Operator: Our next question comes from the line of Jonathan Kelcher with TD Cowen.
Jonathan Kelcher: First, just staying with the balance sheet. You've got the $70 million term loan. What are your plans for permanent financing on that in terms of the timing, the dollar amount and the rates you think you'll get?
Eddie Carlisle: Yes. So the permanent financing is in progress as we speak. My expectation is that, that closes before the end of November. It's going to be agency debt. It will be -- it's going to be a 5-year deal. And the amount is about the same. We're going to -- it's going to be about $70 million -- call it, $73 million, $74 million in proceeds. And rate is obviously still in the air because it hasn't been locked yet, but I expect it to be in the [ 625 range ] would be my expectation.
Jonathan Kelcher: Okay. And that's right around where the term loan is right now with where SOFR is, right?
Eddie Carlisle: Yes, sir. Yes, sir, that's correct.
Jonathan Kelcher: Okay. And then secondly, you guys talked about lot expansion opportunities, and you did note the one property with 36 lots for a potential -- like what is the -- like how should we think about that for next year? How many lots would you -- are you sort of targeting to expand?
Kurtis Keeney: Yes. Jon, at the end of the day, we've consistently said 50 to 100. I don't see anything more than that. And it's really just as the individual -- we've got 300 or 400 acres that we can expand on within the company that are within our current footprint of the community. So you just look at it and as you get into the mid-90s, if you've got the ability and you're comfortable, you would expand like this particular community, we were in the mid-90s, and we could add 36 lots and then there's no land left here. But next year, I think 50 to 100 is probably the right range. But again, it's a nice tailwind. You keep doing that for every 3 or 4 years, like buying an acquisition.
Jonathan Kelcher: Yes. No, for sure. And $15,000 a lot is kind of the number to think about?
Kurtis Keeney: Yes. On this particular one, it's about $15,000 a lot. The sewer mains were all in. The grading was all done. just got to put some driveways in and put some secondary electric.
Operator: Our next question comes from the line of Brad Sturges with Raymond James.
Bradley Sturges: Just on the acquisitions either closed or announced, the potential CapEx spend as you roll out the value-add programs across those new communities?
Kurtis Keeney: Eddie, do you want to jump into the modeling here?
Eddie Carlisle: Yes, sure. So at the acquisition that we actually have already closed in Seymour, Indiana, that one is going to be a little more capital intensive. It's a very, very large community. It will be our second largest community. And frankly, the previous owner didn't have a lot of amenities there. So we modeled about $1.5 million that will be spent there over, call it, the next 18 to 24 months with playgrounds, basketball courts, clubhouses, a number of things like that, just to bring our amenity package to it and really enhance the value of that community there. On the 3 that we'll be closing next week, -- that's a lower number. It's somewhere in the $300,000 to $400,000 range. And really, that's just -- there's a couple of that need playgrounds. But other than that, those were pretty well in better shape.
Bradley Sturges: That's great. And just thinking about the -- maybe the CapEx budget for next year, you're probably working through that process now, but how would you think the overall CapEx budget would look compared to 2025 when thinking about next year?
Eddie Carlisle: Yes. So actually, that's something that we have been looking at. And we're going to see an increase in our maintenance CapEx budget next year, both on the communities themselves and the houses. So right now, we use $75 a lot kind of as that reserve for maintenance CapEx. We'll see that increase next year probably to around $90 a lot. And really, frankly, it's just kind of inflation, right? So they maintain the roads. That's the big things. We're maintaining roads, water-sewer infrastructure. And those costs have increased, and we've seen that. So that number will go up. And then, frankly, the work on rental houses, that's kind of the bad side of the rental houses when those things turn, the reinvestment in them. So we'll be looking to increase the spending on that, call it, by 10% or so next year as well. So we will see a bit of an increase from the maintenance CapEx.
Bradley Sturges: And just last question on the rental homes. In terms of the new acquisitions, would you be looking at using rental homes to drive occupancy initially? Or do you think it's going to be more based on home sales right now for the occupancy growth?
Kurtis Keeney: Good question. So the large community that's got 744 lots plus the 85-lot expansion, it has about 50 rental homes right now in it. And we don't think we're going to -- it's got a big demand, we think, for home sales. So while we can do the rental homes there, we don't think that's the driving factor, and that's really powerful given the size of the community. The other 3, the bulk of the vacancy is in one location. We may use some rental homes there to get the occupancy at that location to the right spot and get the curb appeal right. But again, it's not -- again, we're not abandoning our temperament on rental homes, which is we're running about 10% of lots on rental homes. We'd like that number to be closer to 5% than 10%. And that's still the strategy and where we're headed as a company overall.
Operator: Our next question comes from the line of Kyle Stanley with Desjardins.
Kyle Stanley: You gave a great breakdown on kind of your outlook next year for revenue growth and where same-property NOI could be. I'm just wondering, with OpEx still pretty sticky and elevated, is there some room for that number to come down in the year or 2 ahead that maybe gives us a bit more of a tailwind even on same-property NOI growth?
Kurtis Keeney: I -- so I'm not sure is the answer to your question, if I'm just continuing to be straight with you. The inflation I don't know if it's going to come down or not. Again, it's more expensive. The big moment there is that if we can grow the occupancy, which I believe we can without being heavy handed on rental homes, which I think we can, the rental homes are the one that's the most dynamic. The streets and everything, that's the inflation is there, it's oil driven and all that. And that's -- the good news is that as a portfolio, our amenity package has really gotten better and better and better since we've been public because when we buy these assets, we do an initial investment that's substantive and very high quality. And so that actually reduces that. So I think the delta lies in the rental homes and how many of those you have. So that's one of the reasons that we'd like to drive that number from 10 to 5. But as you go through these economic cycles, we're in the Midwest, it's very stable. We're not seeing some of the other macro kind of economic moments that other people are seeing. But that rental home moment will kind of be the tail that wags the dog a little bit there.
Eddie Carlisle: And the only thing I would add to that is the place that we've seen the most inflated OpEx this year has been the property taxes. And that's a big factor, right? So to the extent we have a similar year next year with property tax reassessments, that really can drive it quite a bit. Now again, we're able to pass that through. But when you look at -- are you elevating or helping your NOI margins, it's actually hurting the margins because it's just -- it's strictly a pass-through.
Kyle Stanley: Right. Okay. No, fair enough. So I think assuming kind of similar levels and maybe there's some upside, but for conservatism, similar levels makes sense.
Operator: Our next question comes from the line of Jimmy Shan with RBC Capital Markets.
Khing Shan: So just on the acquisitions, the 3 the -- whether Kentucky, Indiana and Ohio, what are the going-in cap rates? And what does the cap rate look like once stabilized?
Kurtis Keeney: Eddie, do you want to jump into the model?
Eddie Carlisle: Yes. So Yes. So going in, if you look at the blended cap rate between the 4 properties, it's about 6.2%, the going-in cap rate. In the community in Indiana, the opportunity there, obviously, will be kind of some infill and some rent growth opportunity. In the 3 that are in Cincinnati, there's a -- as Kurt said, there's a good opportunity for infill there. Occupancy is about 65.5%. And so the opportunity for some occupancy growth there is pretty strong. So stabilized, I think we'll probably be looking closer to 7.5% on those long term. But that will take some time for the infill. We are very transparent that growth through occupancy through home sales is generally a little more muted than if you just go through a bunch of rental homes in, but it's more quality occupancy, better NOI margin. So it will take us a while to get there. But yes, it's nice because of -- on those acquisitions, we assume debt at 2.84% for the next 7 years. So there is a debt assumption component on those 3 properties that really kind of helps the model and can give you some patience as you work on the infill.
Khing Shan: And does that 6.2% also include the one closed in the quarter in Kentucky?
Eddie Carlisle: No. The -- I'm sorry, the one in Kentucky was right around 5.5% cap rate there, but that one also had some assumed debt about a little over half at 3.5%.
Khing Shan: Yes. Got it. And then I was just curious, the bridge note that you're going to term out shortly, do you now get sort of better LTV or terms if they're leased up?
Eddie Carlisle: Not really because, I think -- we aren't actually putting additional debt on the properties that we're acquiring, right? So this additional debt is just leverage on other properties that we already own within our total portfolio. The idea is, yes, long term, we'll have these 4 unencumbered assets. Once we get those to where we think are 3 of them, not -- the one in Indiana is already stabilized, right? It's 90% occupied. So that one will be ready to put debt on kind of whenever the need comes. The other 3, yes, we'll work on occupancy of -- getting that so we can get more premium debt down the road.
Khing Shan: Okay. And then last question. I think we've heard some general softness in leasing in the apartment business, but maybe less so in the Midwest. I was just curious since some of your tenants come from the apartment sector, are you seeing that come through at all within your portfolio?
Kurtis Keeney: Yes. What we're seeing is, again, we've been doing this a long time. So when you go through cycles of uncertainty, which is kind of where we're at macroeconomically in our markets, our customers are kind of frozen in place. They're not really leaving. They're not -- they're just kind of frozen in place. So I think that's kind of where we're at for the rest of the year as our occupancy is going to be stable and grow a little bit. And then I think next year, as you kind of get some continued certainty from the government and just in general, I think you'll see a little bit more growth, a little bit more activity right now. But we're happy. I mean, last month, I mean, we sold 40 homes. I mean it was -- so we're still selling. But yes, I think right now, in general, there's some certain segments of the economy that are just kind of frozen in place.
Operator: [Operator Instructions] Our next question comes from the line of Matt Kornack with National Bank.
Matt Kornack: Maybe just going back to Jimmy's question, I think Mark asked something along the lines earlier in the call. Can you quantify kind of what you could have pushed versus what you pushed through over the last number of years in terms of rent increases and maybe how that translates into what you view as a mark-to-market in the portfolio if you were to be aggressive, understanding that you probably won't be.
Kurtis Keeney: Sure, sure. Well, again, part of the working theory is that we like the concept of self-regulation. And again, we've been doing this a long time. And when you get over your skis on rent increases, which Nathan and I have done in our past on an annual basis, you will create turnover. So your occupancy is going to suffer if you do that. And you're going to create a lot of turnover when you do it. So we think like this year, again, 5.7%, $28, that's going to handle us from an inflation perspective and keep us in a healthy place. But again, we're about $300 to $500 cheaper right now than the housing alternative. And that's because for the last 5 years, we've left a little bit on the table. So again, we've been, I think, between 5% and 8% over the last 5 years, like as a range-ish -- but again, I think certainly, if you go to 10%, you start to -- on an annual basis, you really start to see turnover. And we don't -- that's actually not what the underlying asset really wants or -- not what we want either. So I think that's kind of the ranges. So again, we give guidance of 4% to 5% every year regardless of economic cycle. And for some years, we've been on average $20. This year, it's $28. I think the range on that is like $11 to $60 if you look across the portfolio, depending on what markets you're in. So -- but the average is $28. And I think self-regulation is important.
Matt Kornack: No, that's fair. It seems to be working for you guys and you're generating really solid growth. So that's great. Just in terms of as you scale the portfolio, we talked a bit about NOI margins. But just given the G&A load, is your expectation that G&A will kind of grow at inflation, but you'll get more revenue because you're expanding the portfolio? Or are you going to need to add some G&A as you expand the portfolio?
Kurtis Keeney: Eddie, do you want to jump in?
Eddie Carlisle: Yes. So we -- first G&A, you look at corporate office, the corporate office build-out is -- we could grow pretty extensively within where we stand today from a corporate office standpoint. Where we would have to go as we could expand further in some of the markets where we don't have as many properties. So as we may expand further into Arkansas or Missouri or Illinois, some of those places where right now, we have 1 or 2 properties and we don't have district managers. I think there will be a need at some point as we expand in those markets to bring on district managers. So that will obviously have some impact on your NOI a bit. But for the most part, we did lose one position in the corporate office that we'll be replacing recently. So we have that still. And there may be a 1D or 2D headcount add. But for the most part, I think we're -- we've kind of built out the G&A headcount to this point where we need to be.
Operator: Thank you. Ladies and gentlemen, I'm showing no further questions in the queue. I would now like to turn the call back over to Kurt for closing remarks.
Kurtis Keeney: Thank you, operator, and thank you, everyone, for participating. Please feel free to reach out to our Investor Relations team at ir@flagshipcommunities.com if you have any further questions. Have a great day, and thanks again.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.